Operator: Good day, everyone, and welcome to the Nabors First Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. And please do note that today's event is being recorded. I would now like to turn the conference over to Denny Smith, Vice President of Corporate Development. Please go ahead sir.
Dennis A. Smith - Nabors Industries Ltd.: Good morning, everyone, and thank you for joining Nabors first quarter 2018 earnings teleconference. Today, we will follow our customary format with Tony Petrello, our Chairman, President and Chief Executive Officer; and William Restrepo, our Chief Financial Officer, providing their perspectives on the results, along with insights into our markets and how we expect Nabors to perform in these conditions. In support of these remarks, we have posted some slides to our website which you can access to follow along with the presentation if you desire. They are accessible in two ways. One, if you are participating by webcast, they are available as a download within the webcast. Alternatively, you can download the slides from the Investor Relations section of nabors.com under the submenu Events Calendar, where you will find them listed as Supporting Materials under the Conference Call listing. Instructions for the replay are posted there as well under Teleconference Information. With us today, in addition to Tony, William and myself, are Siggi Meissner, President of our Global Drilling Organization; Chris Papouras, our President of Nabors Drilling Solutions; John Sanchez, our Chief Operating Officer for Canrig; and other members of senior management team. Since much of our commentary today will include our forward expectations, they may constitute forward-looking statements within the meaning of the Securities Exchange Acts of 1933 and 1934. Such forward-looking statements are subject to certain risks and uncertainties as disclosed by Nabors from time to time in our filings with the Securities and Exchange Commission. As a result of these factors, our actual results may differ materially from those indicated or implied by such forward-looking statements. Also during the call, we may discuss certain non-GAAP financial measures, such as adjusted operating income, EBITDA and adjusted EBITDA. All references to EBITDA made by either Tony or William during their presentations, whether qualified by the word adjusted or otherwise, mean adjusted EBITDA as that term is defined on our website and in our earnings release. We have posted to the Investor Relations section of our website a reconciliation of these non-GAAP financial measures to the most recently comparable GAAP measures. Now, let me turn the call over to Tony to begin.
Anthony G. Petrello - Nabors Industries Ltd.: Good morning, everyone. Welcome to the call. We appreciate your participation as we review our operations for the first quarter of 2018 and our view of the market going forward. Our results took another step forward this quarter in terms of revenue and adjusted EBITDA, led primarily by the U.S. Drilling segment. I would like to point to the main drivers of our results. First, higher oil prices are continuing to boost rig count and dayrates in the lower 48. Next, our new MODS-400 rig began operations at the Bigfoot platform on April 1, which will noticeably impact our U.S. results going forward. In our other drilling segments, rig count also increased. Internationally and offshore, we see increased tendering activity supported by the current macro environment. Additionally, our Drilling Solutions revenue continue to grow. The casing running business acquired from Tesco played a key role in this growth. Finally, Rig Technologies fell from the fourth quarter. Manufacturing delays in our Tesco facility in Canada resulted in slippage of shipments into month of April. Nonetheless, the Tesco integration is proceeding as planned. We expect both the legacy Tesco casing running and equipment sales businesses to contribute positively to our results in the second quarter. With our super spec rig fleet in the continuing gains in technology penetration, we are confident in our competitive position. The investments we have made in recent years are now paying off. Our SmartRig units are pulling in higher margins, while our strong global platform continues to pull through our advanced drilling technologies. We are positioned to take advantage of the improving market with minimal investment. Now, let me turn to this quarter's results. In the first quarter, Nabors generated adjusted EBITDA of $168 million and operating revenue of $734 million. This performance compares to $163 million and $708 million respectively in the fourth quarter. The rapidly advancing U.S. business propelled the bulk of the increase, driven primarily by higher lower 48 average dayrates and margins. Peak seasonal activity in Canada and growth in Nabors Drilling Solutions helped to offset declines in Rig Technologies and lower margins in International. Rig Technologies was impacted by deferred deliveries of legacy Tesco orders. We believe this was an exceptional development related to the integration. Substantially, all of these deferred units have already been shipped. Nabors worldwide rig activity grew across all segments as oil prices gathered support. We are seeing increased contracting interests and activity from our clients worldwide. Our expectation for both Nabors and total U.S. rig count growth has shifted modestly higher from our previous call. There is developing interest internationally as well, although tightening high-end rig supply has yet to inflect (6:12) pricing. Now, let me drill down a bit further into each of our operating segments. U.S. Drilling. Renewed focus in organizational changes we implemented two quarters ago have yielded the anticipated results at a faster-than-expected pace. Adjusted EBITDA for the U.S. Drilling segment grew by 36% with a 5% increase in rig count. The first quarter average rig count for the segment was 112 with 106 in the lower 48. However, higher U.S. margins of $8,171 a day, a 27% improvement from the fourth quarter, drove the vast majority of the gain. On our previous call, we indicated a lower 48 margin expectation of $6,000 per day for the first quarter. Instead of this $1,000 a day improvement, we boosted margins by nearly $2,000 a day to almost $7,000 per day. While dayrate gains were in line with our expectation, progress on performance improvement initiatives exceeded our guidance. When reviewing our results, it is important to note that the various rig contractors include different items in the margin calculation. As a reminder, we do not include products and services pertaining to Nabors Drilling Solutions, or NDS. For instance, our performance software tools account for over $1,000 per day of incremental NDS margin. We expect to increase our lower 48 margin to the low $7,000s in the second quarter. We are leaving our $8,000 per day lower 48 margin target intact for the fourth quarter. Offshore, we expect to add roughly another $800 a day to our average daily U.S. Drilling segment rig margin with the commencement of our MODS-400 rig. With the incremental benefit of this project, we anticipate U.S. margins, as a whole, finishing the year at over $10,000 a day. We currently have 106 rigs working in the lower 48, equivalent to the average for the first quarter. This total includes three SCR and 12 legacy AC rigs. The first of the eight updated rigs anticipated for this year, which we previously announced, is up and running with the client in the Bakken on a term contract. The remaining upgrades, all have either signed contracts or are in advanced discussions. We again surveyed our larger lower 48 customers earlier this month. These operators represent about a third of the total rig count. Four times as many of these clients plan to add rigs as to drop them. On our previous call, we gave an estimate of a 50- to 90-rig increase in the lower 48 during 2018 from late-February. According to the Baker Hughes/GE rig count, 46 rigs have been added in the lower 48 since then. From our customer survey, we would expect the lower 48 rig count will add another 40 to 60 rigs between now and the end of the year. Additions we saw occurring over the first half have been pulled forward and we have additional visibility on second half plans. I would say we feel confident about the high side of that initial 50 to 90 rig range, if that's slightly above with continuing macro support. Of course, this may change based on oil prices or other factors. So, what does this mean for Nabors? Spot pricing continues to grind higher. We are still repricing expiring contracts to higher spot market rates. I mentioned last call that during the first quarter we had 13 SmartRig units rolling off term contracts at an average dayrate for these rigs of just under $18,000 per day. This quarter, we have 22 SmartRig unit roll-offs from an average of $19,700 per day. We're taking those rigs to the leading-edge dayrates of the low- to mid-$20,000 per day range. As the remaining fleet rolls to that level, we will continue to bolster our average revenues and margins. Many clients are willing to discuss longer-term contracts and we have signed several in recent months. However, given the strengthening market, we believe a premium to the spot market is logical. About 20% of our lower 48 working fleet is contracted on term beyond six months from now. We expect to continue growing this percentage as well as the length of our contracts in the coming quarters. Bottom line, I am very pleased with the performance of the U.S. Drilling segment. Adjusted EBITDA is nearly 3 times what it was in the same quarter of last year and we anticipate that the full year should be more than double what it was in 2017. Let's turn to International. In our International Drilling segment, the net average working rig count increased by 4 rigs from 91 to 95. As forecasted on our last call, our average margin declined by approximately 3% to just over $16,600 per day. This was primarily due to new rates agreed in conjunction with extended terms on various Latin American rigs. In addition to receiving a full quarter from the partner contributed Saudi rigs, we added two rigs to offshore India and two rigs in Russia. We expect the pace of rig count additions to accelerate in the near term beyond our previous expectations. Over the coming months, we are putting four rigs back to work in Colombia, two offshore platforms in Mexico, one rig in Argentina, one in Ecuador, and one in Kazakhstan, and we are in advanced discussions for multiple rigs in Algeria. These come with nominal CapEx requirements. Beyond these contracts, we are engaged in a number of discussions for additional rigs in Mexico and Argentina. Finally, two more SANAD rigs from our partner should begin work over the summer. This new activity will certainly be impactful to boosting the bottom line of our International Drilling segment. Nonetheless, pricing has yet to inflect in most markets. Though several of the rig additions come at a higher-than-average margin, given the current environment pricing on others will trail our typical margins. With the startup of these rigs and the potential sale of our jackups, we expect the average daily international margins to take another step downward. The magnitude of the margin decline should be roughly the same increment we saw in the first quarter. However, we expect to start regaining the lost ground on margins during the second half of 2018. On an adjusted EBITDA basis, we expect the International segment to exceed 2017's level on a full year basis and generate ample cash flow. Let's turn to the Canada Drilling segment. Q1 typically marks the seasonal high for Canada and this quarter did not disappoint, generating over double the adjusted EBITDA of the fourth quarter. Compared to the same quarter of 2017, we had one fewer rig, but margins of nearly $2,000 per day higher. Our average rig count for the quarter was 21 rigs, though, with the seasonal breakup, we're currently down to 10. We expect to average around 10 rigs for the second quarter. Given the more gas-heavy mix and wide oil differentials, the Canadian rig market has decoupled somewhat from the strongly positive lower 48. We still, however, anticipate improvement on both margins and activity post breakup relative to 2017. Moving on to Drilling Solutions, after meeting our $50 million adjusted EBITDA run rate for the fourth quarter of 2017, we set a $100 million run rate target for the fourth quarter of 2018. The first quarter stayed on that trajectory with adjusted EBITDA gaining another 17% from the fourth quarter. Averaged across our working lower 48 fleet, daily margins per rig increased to $1,360. A full quarter of tubular running services from the Tesco acquisition led the way. Performance software continued its growth with the initial commercialization of our new automated steering product offerings, Pilot and Navigator. In the lower 48, we expect increases in directional drilling margins, accelerated pickup in our Navigator software, and additional growth from our early stage MPD offering. Pilot has been commercialized with two major customers and we are rolling it out to more. We are currently integrating the Tesco casing running tool into one of our rigs for Pilot test. We anticipate having the field test finalized soon to roll out to the entire fleet. This design will greatly lower both the capital and operating costs for running tubular services at the rig. Already, we are transitioning jobs from four to three man crews per shift in many cases. The ultimate goal is to get to no more than one man per shift through our new CRT design and our automation efforts. We grew Nabors rig count with our own tubular running services from 11 to 17 in the quarter. This business is also repeating effectively in the U.S. Gulf of Mexico. RigWatch is seeing additional pickup with third-party rig and should see incremental growth from Navigator sales. Our rotary steerable tool performed as expected in the first Pilot well in South Texas for a major customer. We're planning a follow-up test in May and anticipate it will be commercial late this year. As we gauge NDS penetration progress, over 40% of our lower 48 rigs are now running five or more NDS services compared to 36% last quarter. Internationally, we started our second directional drilling job in Saudi Arabia. Our tubular running services business is maintaining the strong operational history it had with the Tesco internationally. As I said before, we expect International NDS growth to be a big driver of the next phase of this business. Turning to Rig Technologies, the results fell significantly as compared to the prior period. We experienced some shipment delays in legacy Tesco orders. Five large equipment orders encountered manufacturing issues and did not ship during the quarter, four of which shipped from the Calgary facility in April. These orders came from the legacy Tesco side. The timing has been impacted by disruptions related to the acquisition, combined with the development expenses for the rotary steerable tool and the Robotics Technologies division, the Rig Technologies segment, as a whole, had a sizable loss this quarter. Given that substantially all of these deliveries have been made, we expect this loss to reverse next quarter into positive territory. The rotary steerable and robotics efforts continue to make strides towards commercialization. As I mentioned, the Pilot well for the rotary steerable tool was successfully completed as per our target. The tool precisely delivered at a targeted rate of penetration. On the automation front, we recently signed our first contract for engineering for what we expect will develop into a full system order for our Robotics Technologies operation offshore. This automation project, which we expect to deliver in mid-2019, will retrofit an existing North Sea platform for a large operator. There are two videos of our robotics line I encourage you to view on our website. One is an automation of an offshore installation. The other is our innovative PACE-R800 land rig, which is built and expected to be delivered to a client later this year. This rig is a single, which incorporates the robotics system and is readily scalable to doubles, triples or quads. After you view these videos, you may wonder why any operator or contractor would want to build a new land rig or offshore rig without robotic technology. This concludes my comments. William will now review the quarter's financial results and provide additional thoughts on the outlook.
William J. Restrepo - Nabors Industries Ltd.: Good morning. The net loss from continuing operations attributable to Nabors of $144 million represented a loss per share of $0.46. Results from the quarter included costs for strategic transactions of $7 million or $0.02 per share. In addition, the quarter included non-cash tax expenses in jurisdictions with negative pre-tax income, resulting in a negative effective tax rate for Nabors. The first quarter tax expense was $46 million higher than in the fourth, a $0.15 per share impact. We expect this position to revert as pre-tax income continues to move towards breakeven and we adjust our legal structures. The first quarter results compare to a loss of $116 million or $0.40 per diluted share in the fourth quarter. In general, our results continued the trend of the fourth quarter. Strong overall drilling results, particularly in North America, and continued growth in NDS. Our international rig count is picking up fast, although pricing still lags. Finally, sluggish shipments of drilling equipment provided a temporary headwind, most of it from logistics and manufacturing issues at our Tesco Calgary facility. Revenue from operations for the first quarter was $734 million as compared to $708 million in the prior quarter, a 4% improvement. U.S. Drilling revenue increased by 3% to $241 million reflecting higher dayrates in the lower 48 and higher rig count, despite fewer drilling days in the quarter. Average rig count for the quarter increased by 5.5 rigs, as we put the remainder of our newbuild PACE-M1000 rigs to work in the lower 48 immediately upon delivery. We also put an incremental rig back to work in Alaska for the winter exploration season. International Drilling revenue decreased by 3% to $369 million, due primarily to lower dayrates on eight contract extensions in Latin America as noted on our previous call. In Canada Drilling, revenue increased by 60% to $32 million, driven by both higher rig count and higher average revenue per day. The seasonal breakup began in March and we are experiencing the usual drop in second quarter results. Drilling Solutions revenue increased 42% in the quarter to $63 million. The largest drivers were higher revenue for performance tools and improved casing running activity, both from our legacy services and from additional Tesco sales. Rig Technologies revenue declined by 18% to $65 million. Delayed shipments from our newly acquired Tesco Calgary facility accounted for this miss. The related logistics and manufacturing issues have been sorted out and we expect these delayed shipments to be incremental to our prior Q2 expectations. 80% of the units involved were already delivered in April. Adjusted EBITDA grew for the fourth straight quarter, reaching $168 million as compared to $163 million in the fourth quarter. The $19 million increase in the U.S. was driven primarily by the robust improvement in lower 48 margins, along with the increased rig activity, lower 48 adjusted EBITDA rose by $20 million as daily margins increased by 39%. As we look forward, we expect to see material growth from the MODS-400 initiation of drilling activity at the beginning of April. This growth will be supported by the eight incremental lower 48 upgrades, steadily joining the working fleet over the next six months. Increasing average dayrates for the lower 48 fleet should also provide a boost to our margins. Drilling margins for the lower 48 increased from just under $5,000 a day to just shy of $7,000, far exceeding our expectations for the quarter. We expect this upward trend to continue, though not at the same pace we saw this quarter. The improved margins reflected an additional $500 improvement in revenue per day as well as substantial reductions to our repairs and maintenance costs. We also addressed our operational support structure in the field, while benefiting from a reduction in startup amortization costs. Rigs continue to reprice to higher spot market rates. We expect this favorable dayrate trend to endure as contract rollovers reprice to market, pricing continues to firm and additional upgrades join the fleet. While Texas remains the tightest market, we are seeing incremental demand in the Rockies and the Bakken for super spec rigs, which is absorbing our upgrades in the region. Although most of our cost improvements are behind us, further reductions are still possible. At this time, we believe lower 48 margins should expand beyond $7,000 a day in the second quarter on higher dayrate, and average $8,000 in the fourth quarter of this year. Given the current level of customer interest and existing commitments, we expect to average between 107 and 109 working rigs in the second quarter. As a reminder, we have 106 working rigs in the lower 48 as of today. International Drilling margins of approximately $16,600 were in line with what we had anticipated. Adjusted EBITDA declined by $5 million to a total of $124 million in the first quarter as four additional rigs were more than offset by the price reductions mentioned before and by fewer revenue days in the quarter. While the potential sale of three working jackups would impact our second quarter rig count and margins, the startup of multiple rigs worldwide will grow our average working rig count in the second and especially third quarters. If we are able to divest these non-core, but higher margin jackups in the imminent future, we expect a decline of approximately $5 million of adjusted EBITDA for this segment in the second quarter depending on the timing of this divestiture. Given the contracted startups we anticipate in the second and third quarters and the increasing rig demand seen more generally internationally, we forecast a strong rebound to adjusted EBITDA for the segment thereafter. Canada Drilling adjusted EBITDA more than doubled from $4.3 million to $9.3 million, driven by another $1,200 growth in margin to $5,850 per day. While it is difficult to forecast beyond the spring breakup, this segment has been a bright spot for us. With a seasonal trough in Q2, we anticipate an average second quarter rig count of approximately 10 rigs and margins in the mid $6,000s as many of our most capable and self-sufficient rigs works through the breakup. Drilling Solutions posted an adjusted EBITDA contribution of $14.8 million, up from $12.6 million in the fourth quarter. The acquisition of Tesco's tubular services business has given us immediate scale in key markets such as Saudi Arabia and the U.S. We also now have a presence in several offshore markets. We remain confident in our $100 million annualized adjusted EBITDA target for this segment by the fourth quarter of 2018. The Rig Technologies segment, representing Canrig and the two technology developmental efforts, dropped from negative $4.3 million of adjusted EBITDA to negative $8.7 million in the first quarter. Given the underlying cause of this deterioration, we now expect the second quarter to be positive for the segment as deferred deliveries occur. We expect adjusted EBITDA for the segment to exceed $10 million by the fourth quarter of this year. We anticipate our rotary steerable solution and Canrig Robotics Technologies division being positive contributors to the segment by year-end. Now, let me review our liquidity and cash generation. Net debt increased by $200 million in the first quarter, which was $100 million more than anticipated. The timing of our semiannual major interest payments was expected to weigh on the first quarter's cash flow. But other items that should not recur in the second quarter, such as an increase of working capital associated with the initiation of SANAD operations, transaction costs and slower collections related to the Tesco acquisition, annual bonus incentive payments and fees associated with our bond issuance also played a role. CapEx for the first quarter was $84 million. We're still targeting CapEx for 2018 of around $500 million. So we would consider undertaking additional upgrade projects with customer pre-funding for the upgrade expense, long-term commitment and high return on capital invested. We still expect positive cash flow for the full year 2018. With a possibility of closing the sale of our jackups this quarter, we would receive about $90 million split 75% cash and 25% stock, with the stock subject to only a three-month lockup. Excluding proceeds from a potential jackup sale, we expect second quarter operating cash flow to be positive. With expanding U.S. margins and International activity, the start of the MODS-400, along with continued growth in Drilling Solutions and recovery in Rig Technologies, we expect to exit this year generating strong annualized cash flows. The next few years should bring material cash flow generation, which will be allocated primarily to debt reduction. This is our top priority and we're very much aware of its critical importance. With that, I will turn the call back to Tony for his concluding remarks.
Anthony G. Petrello - Nabors Industries Ltd.: Thank you, William. I want to conclude my remarks this morning with the following summary. As William noted, generating positive free cash flow during 2018 remains our top priority for the remainder of the year. With increasing operational results, minimal cash interest expense and contained working capital, we anticipate positive cash flow next quarter exclusive of any potential proceeds from a jackup sale. Our U.S. Drilling business clearly has undergone a rapid improvement. We expect its upward trajectory to continue with sizable incremental adjusted EBITDA contribution year-on-year. Meanwhile, although we have yet to see pricing increases internationally, the recent uptick in tenders that is now converting into contracts gives us confidence that this bedrock business is approaching the point of inflection. Getting incremental rigs to existing sometimes underutilized regions provides us with outsized (29:47) operating leverage to improving activity. We anticipate that pricing power will follow this demand growth much as we saw in the U.S. in 2017. In summary, I see great things across all of our segments with best-in-class rigs here today and emerging downhole and topside technologies to drill the wells of the future. That concludes my remarks this morning. Thank you for your time and attention. With that, we will take your questions.
Operator: We will now begin the question-and-answer session. And our first questioner today is Ken Sill with SunTrust Robinson Humphrey. Please go ahead.
Ken Sill - SunTrust Robinson Humphrey, Inc.: Hey, good morning guys.
Anthony G. Petrello - Nabors Industries Ltd.: Good morning.
William J. Restrepo - Nabors Industries Ltd.: Good morning.
Ken Sill - SunTrust Robinson Humphrey, Inc.: Thanks for taking time out of the busy OTC schedule for earnings. I got a question on the 3D rotary steerable. It's good that you got the pilot test and other ones coming. Is this thing going to have an outsized impact on margins per day once it gets commercialized? I'm assuming that's going to be more tools coming out next year for your other (31:10) services?
Anthony G. Petrello - Nabors Industries Ltd.: Well, if you look at competitive offerings, I would say, absolutely yes. You know what the dayrates are today in the lower 48 for rotary steerable tools, upwards of $16,000 to $20,000 depending on who and location-wise. And so, a substantial part of that drops to the bottom line. Those margins basically are equal to the margin of a rig. So, that's one of the reasons why we're focused on it, to try to tap into that.
Ken Sill - SunTrust Robinson Humphrey, Inc.: Okay. So, yeah, that's kind of what I was getting at. So, those are going to be a really significant driver once you see deployment of those tools on top of everything else.
Anthony G. Petrello - Nabors Industries Ltd.: That's why it's on our target list. Of course, we have a long way to gear-up in terms of building number of tools out et cetera, but that's the objective here. And the integration into our rig control system is other point where we believe the rotary steerable tool actually will be more effective with the Nabors Rigtelligent operating system that will help guide it and help you with the wellbore placement. So, that's another optimization feature that we're focusing on that will distinguish our rotary from other people.
Ken Sill - SunTrust Robinson Humphrey, Inc.: Okay. And then just a follow-on question. Internationally, you guys are seeing some improvement in demand, kind of calling a bottom on the rig count here. Is there any particular area outside of the Middle East that looks better or that might actually improve faster?
Anthony G. Petrello - Nabors Industries Ltd.: Well, as we indicated on the call – in the remarks, I mean, we did sign four contracts in Colombia, one in Mexico and one in Argentina and in addition to Ecuador. So, the Latin American focus has been – Latin America is very active. Obviously, Argentina the Vaca Muerta play is looking for rigs. And interesting thing about that search for rigs is, they're actually looking for more U.S.-style shale rigs, which actually help drive incremental pricing because those rigs don't exist in country. And Colombia, as you know about – was a two years ago, we relocated X Rig down in Colombia, and and improved deck control (33:20) the U.S. X-type rig really adds value in that marketplace. So, I think that whole region is becoming more alert to the benefit of higher-performing rigs, which again falls into our bailiwick.
Ken Sill - SunTrust Robinson Humphrey, Inc.: And then what about the platform rig business. You said, offshore showing better – is there any chance for that to upturn or is this kind of the offshore, in general?
Anthony G. Petrello - Nabors Industries Ltd.: Well, I think it's true there's – there have been green shoots. We just extended one rig, our M-200, and yesterday, we signed a new contract for previously staffed rig, a platform rig. So, we are seeing some green shoots. And of course, we are obviously very excited that M-400 is going on, on a full rate and as of April 1, so you'll see that increment in our numbers going forward. So, yes, I think the platform market is beginning to show some signs of additional green shoots.
Ken Sill - SunTrust Robinson Humphrey, Inc.: Okay. Great. Thank you.
Operator: And our next questioner today will be Marshall Adkins with Raymond James. Please go ahead.
J. Marshall Adkins - Raymond James & Associates, Inc.: Good morning, guys.
Anthony G. Petrello - Nabors Industries Ltd.: Good morning.
J. Marshall Adkins - Raymond James & Associates, Inc.: The Tesco integration, we had a little hiccup in Canada this quarter, but tell us how that integration is coming along? And then kind of adding to that, seems like this integration of the Tesco casing running stuff is a fairly big deal. So, could you comment on the relevance of that going forward?
Anthony G. Petrello - Nabors Industries Ltd.: Sure. As we said before, our vision of the future for drilling is the rig as a platform and we're looking at things that were lot – that historically, because the industry was so solid approached on only (35:09) services, never had the ability to integrate these services. So, we believe that there's some logical (35:15) services, and casing running is one of them, not just the bundled service, but – actually it's part of the rig. And being part of the rig, that means you get economies in terms of people. So, typically, a four-man crew, for example, with – if it's integrated in the rig, we think we can get it down to no more than one person and, ultimately, maybe without that person. Our new design of the Tesco tool that we'll be rolling out in the third quarter is streamlined, that takes advantage of the top drive – takes advantage of the top drive and reduces the CapEx, reduces number of moving parts. It's much more streamlined, faster to go on for ringing (35:49) up, et cetera. And we think operators certainly have had a view that automation of the casing process is slower than manual. We think we're going to be able to easily show them now that we have a way of proving that it's faster, or at least not as slow, and safer. So today, we're now on 17 jobs in Nabors rigs, which is about 15% of our rig count. And we have about 64 third-party jobs in the U.S. marketplace in Tesco. And in Saudi Arabia, we've a good position there on a bunch of rigs. So while we're focusing on the U.S., we also think we'll try to expand our position in Saudi as well. So, that's the overall concept.
J. Marshall Adkins - Raymond James & Associates, Inc.: All right. And kind of a similar, I guess, somewhat related question. Your cost came down a lot on the U.S. side, which is unusual since you're reactivating rigs. And we know across the industry, you have these labor issues. How the heck are you getting cost down in this environment? It seems like most everyone else is going the other way. So, give us some color on what's going on there.
Anthony G. Petrello - Nabors Industries Ltd.: Well, I'd like to say, it was a bottom-up – it was a top down approach. I said that we have to do it, and the guys responded and they made it happen. I mean, basically, we set a mission of ourselves to really look at every piece of workflow in the company and all our infrastructure and just start trying to simplify it and taking as much out as possible. The person running the U.S. Operations segment is Head of our Global Supply Chain, so we moved him into the U.S. – he's now running U.S. Operations, Edgar Rincon, and he brought a real discipline to it and we just really focused on it, and as you see, we think we've nailed it. I think there's still some little more to go. Obviously, there's not low-hanging fruit at this point because we're so successfully beyond, as we said before, our expectations. But that was the mission, Marshall, and I think the team delivered. And I would say that there's also some similar initiatives front in the company and other areas. But that's our mission today. As I said on the last call, we're at the point in Nabors, where I got – we want to extract more from the existing asset base, and our total focus is on that. And that – because doing that is the higher return of capital, we think, and more cash flow generation. And we think we have an unparalleled asset base right now. I think our rigs – in the U.S., our SmartRigs second to none. And I think internally, we all know that we have the best franchise internationally in the marketplace. So what I'm interesting doing is milking that as much as I can and having the team extract everything we can from it, and that's where the guys' focuses are today.
J. Marshall Adkins - Raymond James & Associates, Inc.: Thanks, guys.
Operator: And our next questioner today will be Marc Bianchi with Cowen. Please go ahead.
Marc Bianchi - Cowen & Co. LLC: Thank you. Wanted to clarify just one thing, first, on the international guide. William, the $5 million, if you do get the jackups sale done, that is excluded from the commentary about margins declining similarly to what they did in the first quarter. Is that correct?
William J. Restrepo - Nabors Industries Ltd.: I think that is what is driving the margin decline, Marc, actually.
Marc Bianchi - Cowen & Co. LLC: Okay. Okay.
William J. Restrepo - Nabors Industries Ltd.: It's not a double whammy. It's just that is what is driving the decline for the second quarter.
Marc Bianchi - Cowen & Co. LLC: Okay. Okay. And then, I guess, that sort of implies that rig count is flattish or maybe just down slightly from where you were in the first quarter?
William J. Restrepo - Nabors Industries Ltd.: We're going to get some additional rigs in the second quarter, but the big growth is in the third and the fourth.
Anthony G. Petrello - Nabors Industries Ltd.: I think is it's about maybe...
William J. Restrepo - Nabors Industries Ltd.: I think there's one.
Anthony G. Petrello - Nabors Industries Ltd.: ...one rig here in the second quarter, and then those eight contracts I referred to, plus the other one we'll start in the third and fourth quarter.
Marc Bianchi - Cowen & Co. LLC: Okay. Okay. And Tony, that one extra rig in the second quarter I would also be subtracting, I guess, three on a operating basis from that right?
William J. Restrepo - Nabors Industries Ltd.: Correct. So, that is in an average net number. The one plus – one-point-something, but that includes losing three jackups. Right? So, in reality, we're gaining rigs on land in the quarter (40:12).
Marc Bianchi - Cowen & Co. LLC: Got it. That makes sense. Okay. And then on the cash flow comment, can you guys remind us what you mean there? Is that operating cash flow? Is that operating cash flow minus CapEx, EBITDA minus CapEx? Just define the vocabulary there, if you could.
William J. Restrepo - Nabors Industries Ltd.: For the second quarter?
Marc Bianchi - Cowen & Co. LLC: Yes.
William J. Restrepo - Nabors Industries Ltd.: So, we're shooting very hard to deliver stable net debt for the second quarter before the impact of a potential sale of the jackups in the second quarter.
Marc Bianchi - Cowen & Co. LLC: Okay. Okay. That's great. And then if I could, just one more, as we think longer term with the Saudi JV, any incremental CapEx and borrowing that occurs there as you consolidate the business, I suspect it would add to the spending that that occurs. But I think it's occurring within the JV and any debt that occurs is going to be at the JV level and doesn't necessarily recourse to Nabors. Do I have that right or can you help us understand?
William J. Restrepo - Nabors Industries Ltd.: You have that right. But really, in our forecast, Marc, we're not seeing, over the next couple of years, any need for debt. In fact, the JV is going to be quite flush in cash.
Marc Bianchi - Cowen & Co. LLC: Okay. Very good. I'll turn it back.
Operator: And the next questioner today will be Jim Wicklund with Credit Suisse. Please go ahead.
James Wicklund - Credit Suisse Securities (USA) LLC: Good morning, guys. The free cash flow generation in the second half of the year and in 2019 is strong and impressive. I just look at the total debt load and wonder if it's enough or if there's anything you have to do. I'm thinking about how long the cycle would have to last before we roll over again for you to generate enough cash to making a meaningful pay-down. So, I guess, my question is, is there anything else you need to do or can do so, assets you can sell, deleveraging transaction? I'm just wondering if the only plan for the debt reduction is free cash flow generation over the next coming years.
Anthony G. Petrello - Nabors Industries Ltd.: I think the first thing I would say is, and thinking about going forward, when you put together all the pieces today that we've outlined and you see the direction of all the segments, I think we've laid out a roadmap where you can see that by 2019 year, we're going to have in excess of $1 billion of EBITDA. Okay. That's point one. And (42:43), the other one is I think there's obviously a host of other things that we're thinking about, but I'll let William go through them.
William J. Restrepo - Nabors Industries Ltd.: So, I think some of the things that we're working on and, obviously, we do that all the time, obviously, is – so we're looking at our shorter-term maturities and opportunities to term that out. We're also talking already to our bankers on potential extension and modification of our revolving credit facility. So, it takes care of, I would say, the more tactical parts of the equation. We do think that the cash flow generation of 2019, 2020, and we don't expect the market to roll over in those two years, are enough to make a meaningful dent on our net debt. I don't think we will reach our final objective, which is somewhere in the low $2 billion net debt over the next couple of years, but we'll certainly put our company in a situation that is much better over the next two years. And we said before that we expect to deliver roughly $1 billion of free cash flow that will be allocated towards a debt reduction over that two-year period, James.
James Wicklund - Credit Suisse Securities (USA) LLC: Okay. And the rate (44:07).
Anthony G. Petrello - Nabors Industries Ltd.: Yeah.
James Wicklund - Credit Suisse Securities (USA) LLC: Okay.
Anthony G. Petrello - Nabors Industries Ltd.: I would also say, we're always looking at our portfolio to see what other things are logical for us to have in the portfolio versus not in the portfolio. We've had a track record of doing some stuff like that. So, you can rest assure we're looking at things like that as well.
James Wicklund - Credit Suisse Securities (USA) LLC: Okay. I appreciate that. That's helpful. And my follow-up, if I could, one of the biggest issues, of course, in the market these days is people and personnel, and I think this might be the first cycle in my history of doing this where we've actually lost $1 of revenues because we couldn't find people. Permian, Midland unemployment is 2.1% and just paying the people more doesn't solve the industry problem. I'm just curious to know what you're doing or how you're doing in terms of adding people. Everybody needs people, and if there's a solution to the industry as opposed to just individual companies by paying a little bit more to move people around. What do we do and will the automation efforts that Nabors is trying to do on rigs, will that be soon enough to have an impact?
Anthony G. Petrello - Nabors Industries Ltd.: Well, obviously, one of the reasons why we're interested in automation is we'd like to open up a whole new access to a different kind of labor pool. Today, when one thinks about the drilling industry, for people outside, they have this picture of a bunch of guys lifting heavy (45:32) on the rig floor and they're full of mud and everyone thinks that's the industry. And so, with automation, especially to the extent we can get an automated drill floor, we think that should open up a whole host of different labor force, which is why we're so keen about it. But in the meantime, attracting people is not so much a challenge. I mean, because you're bringing them in at the roustabout floor-hand (45:55) level and we actually do the training ourselves. So, it's really training and retention is the issue. We can get people in the door, but having them motivated to stay and keep them trained and bring them up to speed and make sure they're focused, that's the real challenge. And so, things like – apart from daily pay, work schedules matter, the other niceties of accommodations and stuff like that. And so, we've now turned to that, a focus on that as opposed to pure dollars as well. And we will have some cost increases in the Permian, like other people have mentioned as – I don't know if it was in my prepared remarks or not, but we do have in our cost structure some amortization costs that will roll out during next couple quarters. So we think the net effect of that will not be material on our numbers, and plus in any event the labor, there's a pass through to the customers. But I think you rightly point out that the focus just can't be on pay. It has to be on retention, which is a much more costly feature of pay, and on training, and getting the right people. And that's why we're so interested in automation as a front for the company.
James Wicklund - Credit Suisse Securities (USA) LLC: Okay. And Tony, what's the year that we put out a rig that can be run by one person? That's a completely hypothetical question we'll never hold you to, but what year do we put out a rig that can be run by one person?
Anthony G. Petrello - Nabors Industries Ltd.: Well, I never said that it'd be one person. I think it'll be run – I think the rig floor itself will be run by a driller, and there won't any need for anyone to touch the pipe, tripping and casing, et cetera, can all be done on an automated fashion. And I'm hoping you're going to see that relatively soon. That's all I'm going to tell you. I mean, I'm working on it, and look at – and I would direct you to your picture – I would direct you to the two videos on the website right now. And you're going to see one is a plan for an offshore rig floor that's totally automated. I think, as we announced in our prepared remarks that we have signed an engineering contract with a major North Sea operator to redo his platform rig along the lines of our automation concept. And that video illustrates to you what that looks like, and you'll see it's something that doesn't exist today. And then similarly, there's a video of a land rig with – it's with a single bit (48:20). The technology is at the core the (48:22) doubles and triples, which also will show you how it will operate without – and that rig is actually in the yard right now, and we're talking to a customer. We're just doing some final changes on it. That's going to be out before year-end. So, that rig that's in the video is an actual rig. It's functioning. It's actually drilled hole in the yard. So, we know it's real. We know the technology is viable. The challenge is to scale it. The challenge is to make it robust enough for the oilfield. Those are the challenges. This is not rocket science. I would like to say it is, but it's not rocket science. Every other industry is automated. Our entire industry is now focused on it. And I would say to you that it's kind of analogous to why would you buy a new Mercedes without power steering and power brakes. I mean, you (49:09). But today, you build the $400 million drillship, it has no automation. It makes absolutely no sense. Well, people are in the process right now of building new jackups, and you haven't rethought the way you're doing things, and everyone thinks (49:23) the same way for 20 years. So, our mission is to try to change that. So, we'll see if we can scale it and get it out there. But that's where the focus is. So I'm not going to overpromise it. I'm just saying that's where our focus is right now. And the videos are – give you some idea of where we're at in the process.
James Wicklund - Credit Suisse Securities (USA) LLC: Excellent, gentlemen. Thanks, Tony. Thanks, guys, very much.
Anthony G. Petrello - Nabors Industries Ltd.: Thank you.
Operator: And hour next questioner today will be Colin Davies with Bernstein. Please go ahead.
Colin Davies - Sanford C. Bernstein & Co. LLC: Hi. Good morning. I was wondering if you can give us a little more color on the walk as we step up the margin in the U.S. So, I think you said potentially over $10,000 a day by the fourth quarter. Trying to get some sense of how much you think that is lower 48 pricing? How much you think it is ongoing cost improvement where you guys have obviously made big gains? And how much is it just a blend of the offshore rigs coming in, the platform rigs coming in?
Anthony G. Petrello - Nabors Industries Ltd.: I think you can separate out – I think it's better for you to just look at lower 48, what we're saying about lower 48, lower 48, the increase that occurred this quarter to quarter was about $500 due to pricing, and about $1,500 due to costs, which equates (50:38) to our $6,900 roughly $7,000 number. And I think we're saying, the next quarter, we see an improvement to the low $7,000s and the target is to be $8,000 number by the fourth quarter as an average of the fourth quarter may be a higher exit rate than that. And obviously, (50:56) costs are going to have a diminishing role here. So, we'll be (51:01) expecting a lot more to come from the rollover of those older contracts we said to leading-edge rates. So, that's the plan.
Colin Davies - Sanford C. Bernstein & Co. LLC: Okay, that's helpful. And then just on the solution side, any sense that you can give us as to how much of the growth over the next few quarters is coming from the acquired Tesco services and the growth of that into the Nabors rig portfolio? And how much of is it coming from the underlying NDS solution that you're adding progressively on to the rigs?
Anthony G. Petrello - Nabors Industries Ltd.: I don't have an exact number, but my guess is around 20% maybe, something like that.
William J. Restrepo - Nabors Industries Ltd.: Right. I think the Tesco casing running services should add something in the range of $15 million to $20 million of EBITDA year-on-year and the rest is all organic. But a lot of it is expansion into international markets, as Tony mentioned. We are getting now our first paid jobs in Saudi Arabia for directional drilling and our performance software continues to expand internationally. And in the U.S., new products, new offerings, including the rotary steerable, coming towards the end of the year.
Colin Davies - Sanford C. Bernstein & Co. LLC: That's great.
Anthony G. Petrello - Nabors Industries Ltd.: So when you think about NDS, one thing I'd observe is we said the penetration is 40% with five or more services on our rigs, which really is the – those are the rigs that are contributing the bulk of that $1,350 (52:37) a day. So, that 40% means that on an average the rigs with those packages are actually adding about $3,500 a day. And so, that's a pretty meaningful number. And our mission is to get that expand as much as possible on other rigs.
William J. Restrepo - Nabors Industries Ltd.: So, I'll tell you another statistic, which is quite interesting to me, we look every week at the last 10 contracts that are awarded in the lower 48. And in the last 10 contracts, 7 of them had casing running services. So, that's the kind of penetrations that we're starting to see now from the Tesco acquisition. That's why we're so excited about the acquisition and how we can integrate and pull through that revenue into our rig platform.
Colin Davies - Sanford C. Bernstein & Co. LLC: That's great. That's helpful to see how the pull-through is working. Brilliant. Thank you. I will hand it back.
Dennis A. Smith - Nabors Industries Ltd.: Let's do one more question. We've got about five minutes left here.
Operator: And the next question will be from Tommy Moll with Stephens. Please go ahead.
Tommy Moll - Stephens, Inc.: Good morning. Thanks for taking my question.
Anthony G. Petrello - Nabors Industries Ltd.: Sure.
Tommy Moll - Stephens, Inc.: So first, just a housekeeping item on your outlook for free cash flow. Are you expecting positive free cash flow ex the jackup sale in both 2Q and for the full year?
Anthony G. Petrello - Nabors Industries Ltd.: Yes.
Tommy Moll - Stephens, Inc.: Okay. Great. And then, to round it out here with a macro question. It's good to hear you're increasingly optimistic on rig count in the lower 48. Do you discern any difference in maybe adjustments to drilling plans on the public side versus the private side in terms of your customer base? And specifically, on the public side, is your assumption on the rig count continuing to climb based on the CapEx budgets that have already been announced or more just folks who are looking at where WTI is trading today and maybe thinking about bumping that number up as we get into late Q3 or Q4? Thanks.
William J. Restrepo - Nabors Industries Ltd.: Okay. So, it's less based on CapEx and those sort of surveys than on specific market intelligence we get. We do have clients that together have – account for over a third of the rig count in the U.S. in the lower 48, and they give us good participation in our survey. So, we're projecting our own customer base to the total market. That's how we're reaching that conclusion.
Tommy Moll - Stephens, Inc.: Okay. Thanks. That's all for me.
Dennis A. Smith - Nabors Industries Ltd.: We will wrap the call up now. Ladies and gentlemen, thank you for joining us. And if we didn't get your question answered, feel free to e-mail us or call us at your leisure.
Operator: And the conference is now concluded. Thank you for attending today's presentation. You may now disconnect.